Operator: Good afternoon, everyone. And welcome to Rackspace Technology’s Second Quarter Earnings Conference Call. As a reminder, today's call is being recorded. Kevin Jones, our Chief Executive Officer; and Amar Maletira, our President and Chief Financial Officer joining us today. The slide deck we will refer to today can be found on our Investor Relations website. On slide two, certain comments we make on this call will be forward-looking. These statements are subject to risks and uncertainties which would cause actual results to differ. A discussion of these risks and uncertainties is included in our SEC filings. Rackspace Technology assumes no obligation to update the information presented on the call, except as required by law. Our presentation includes certain non-GAAP financial measures and certain further adjustments to these measures, which we believe provide useful information to our investors. In accordance with SEC rules, we have provided a reconciliation of these measures to their respective and most directly comparable GAAP measures. These reconciliations are in the tables included in our earnings release and slide presentation, both of which are available on our website. After our prepared remarks, we will take your questions. [Operator Instructions]. I’ll now turn the call over to Kevin.
Kevin Jones: Good afternoon. And thanks for joining us. I'll discuss quarterly highlights and touch on some customer case studies and Amar will go into detail on the financial results. As shown on slide five, we delivered a solid second quarter revenue and non-GAAP earnings per share were at the high end of our prior guidance and non-GAAP operating profit exceeded the top-end of our guidance. Our new product launches from earlier this year, Rackspace Elastic Engineering and Rackspace Services for VMware Cloud, we're off to a good start with some early wins already on the board. The turnaround and cash-flow resulting from our working capital and cash management transformation programs has been remarkable. And this quarter we began paying down debt with the repayment and retirement of our accounts receivable financing facility. The strong cash-flow, we are now generating will enable us to continue to make progress on reducing our leverage ratio toward our stated targets. Turning to slide 6, total revenue was up 13% and core revenue was up 17% compared to last year second quarter. Non-GAAP operating profit was up 4% and non-GAAP EPS was up mid-teens at 14% in-line with revenue growth. Through sales bookings in the second quarter were $258 million of 6% compared to the first quarter. This year, we are calibrating new sales bookings to drive both revenue growth and initial sold margin. We believe approximately $1 billion of new sales bookings in 2021 will enable us to drive double digit revenue growth while optimizing profitability. And we're all on track to meet that goal with just over $500 million of bookings in the first half of the year. On slide 7, I want to touch on the transformation that we announced in late July. Over the past 6 months, we've taken a hard look at every aspect of our business in-light of the acceleration of digital transformations and continued migration of our business from mature products to growth products. Through this process, a few things became very clear. We had to free up resources and continue to invest in new solutions. We had to expand our delivery capabilities to meet demand for those new solutions. And we had an opportunity to help employees in our mature businesses develop high demand skills to meet needs in growing areas. The actions we announced in July accomplish all of these goals. As part of this initiative, we are providing a Rackers, including those impacted by the restructuring, but the ability to re-skill and retrain for hot new areas in cloud, including elastic engineering and cloud professional services. Net net, we believe the transformation and restructuring initiatives announced in July positioned Rackspace technology extremely well to compete and win, and then growing cloud technology solutions industry. As I've done in past quarters, let me share some case studies of how Rackspace technology is helping customers do innovative things in the cloud. On slide 8, let's talk about pure storage. It's $6 billion market cap-tech company. Pure storage serves over 8,000 customers with its storage as a service offering, helping them run their operations seamlessly across multiple clouds. As containers became more practical and improvement technology here took notice and look for a world-class partner who could move fast to build reference architectures on Google Anthem and Kubernetes. The partnership with Rackspace technology enabled pure hit an aggressive 90 day timeframe for initial product launch. Pure storage now has referenced architectures that can confidently take prospective customers that deliver the benefits of leveraging pure storage on Google Anthem. Slide 9 is a case study from bright skies. The company we acquired in Germany and the fourth quarter of 2020 bright skies recently helped dull the international produce company transition its European operations from company owned data centers to the cloud. Our solution included an entire service package starting with the cloud readiness assessment, a feasibility study and budget plan and technical workshops to define the target architecture. On an accelerated three month timeline, 100% of those virtual machines moved to Microsoft Azure. Today they'll benefit from having this data in the cloud with less complexity, increased productivity, and most importantly reduced costs. Now Amar will take you through the financials. Amar?
Amar Maletira: Thank you, Kevin, and thank you everyone for joining our call today. Slide 11 recaps our financial results for the quarter. Revenue was $744 million, an increase of 13% year-over-year. Our core business grew 17% year-over-year to $698 million. Non-GAAP operating profit was $119 million, up 4% year-over-year. Non-GAAP operating margin was 16.1%, down 1.5 percentage points year-over-year. But within our mid to high teens, it could range and non-GAAP earnings per share was $0.24 up 4% from last year. Slide 12 shows the company's revenue mix in the first quarter by segment and by geography. Multicloud continues to represent the vast majority of our revenue at 82% of the mix. And it grew 17% year-over-year. Apps and cross platform at 12% of total revenue grew 16% year-over-year driven by growth in application services, coupled with strength in our data and security services, businesses. OpenStack, which is a legacy business declined 20% in line with our expectations. This segment now represents only 6% of total revenue. From a regional perspective, Americas continues to represent 75% revenue and go 12% year-over-year. APJ grew at 39% while EMU grew 13% year-over-year. I showed on slide 13, Q2 was another good quarter of cash-flow. GAAP cash from operations was $106 million bringing first half cash from operations to $209 million. Free cash-flow defined as GAAP cash from operations minus cash CapEx was $77 million up from $66 million in Q1. This brings the total free cash flow for the first half to $143 million. As expected, Total CapEx in Q2 was $82 million and total CapEx intensity was 11%. This was due to the renewal of large enterprise license agreements. As a reminder the accounting treatment for these renewables requires us to recognize ELs as CapEx in the period the deal is signed. Cash CapEx was $29 million and cash CapEx intensity was 4% on first quarter. For fiscal year 2021, we expect that cash CapEx intensity in the four to 6% range. Total cash at the quarter end was $215 million and we had $375 million of unused revolving credit cards. We paid down $56 million of debt, including $50 million repayment and termination of the accounts receivable financing facility. On site 14, we have a guidance for the third quarter. For the third quarter, we expect revenue in the range of $750 million to $760 million. Core revenue of $705 million to $715 million. Non-GAAP operating of $118 million to $122 million. Non-GAAP earnings per share at the range of $0.23 to $0.25. Non-GAAP other expenses of $50 million to $52 million. Non-GAAP tax expense rate of 26% and we expect non-GAAP weighted average shares of $213 million to $215 million. For the fourth quarter, we expect revenue to grow approximately 2% sequentially and operating profit and EPS to be flat sequentially. With that, we'll take your questions, Joe, please go ahead and queue up the audience for Q&A.
Operator: Thanks Amar. [Operator Instructions] Our first question comes from Dan Perlin at RBC.
Dan Perlin: Hey guys, can you hear me? Sorry. I just want to make sure I was un-muted. So I had a question, you're targeting $1 billion dollars of bookings for the full year that kind of suggests kind of absolute dollar flattish for the second half of the next two quarters. So there's two questions, I think one can you just remind us how that's going to translate into double digit revenue growth for the second half of the year? Because it looks like the midpoint guidance looks like a decelerates a little bit third quarter fourth quarter. And then secondly, you clearly have refined the strategy of what you're letting into that funnel. So maybe you can remind us of some of those changes and why that's beneficial to you guys longer term? Thank you.
Amar Maletira: Let me get started here and Kevin can add additional color here. So then when you take a look at our revenue growth revenue growth is driven by multiple factors. First we have a high base of recurring type revenue, which drives good visibility into the future. And that's what we have factored into our guidance. Second, we are also executing revenue related initiatives that are less visible to the street, which are mainly focused on things like acceleration of revenue realization, shown reduction in contract renewals. And sort of course, it's a booking step you a little bit too. So we need to roughly deliver a billion dollars of bookings to continue driving double digit revenue growth in '21 and '22. And if you look at a fiscal '21 guidance, we call for a double-digit growth in revenue. Now in Q3, based on our guidance our core revenue will grow roughly about 13% and in Q4, it'll grow about 10% plus now, depending on what you model for your OpenStack business. So, I think when you take a look at a $1 billion, you will see that the revenue growth continues. I think we are looking at the full revenue growth for the full year and the full year you will expect, you should expect us to continue delivering upon 13%, 14% growth, which is much higher than what we delivered last year.
Kevin Jones: Yeah. And I would just add to that. Dan, when you kind of look at the second half for bookings, I would expect third quarter bookings to be lighter than the $250 million run rate to get to that $1 billion total number. And that's because of seasonality and summer holidays in certain parts of the world. But then go up again in Q4 to kind of balance out at that sort of $1 billion number that as Amar mentioned, we need to sustain double-digit revenue growth and that's, what's built into our guidance as well. And in terms of the second part of the question about, okay, what kind of business, we're calibrating, we basically have been calibrating new business bookings along with initial sold margin. And that's been a really, I think, a positive development in the company. And what that really is doing is it's allowing us to be more selective. There's a big market out there, and we can't be more selective in actual deals that we take. And, as we continue to grow our professional services business, our cloud native application development business multi-cloud managed services such as the elastic engineering that we recent really released and those types of offerings. So that's kind of where the focus is Amar, anything else to add on that?
Amar Maletira: I think, I think you said it Dan, the focus is there's a lot of demand out there. As we said previously, one to focus on good quality bookings, bookings that will continue driving not just double-digit revenue growth, but also more importantly driving right margin profile for the business and expansion opportunities within those accounts.
Joe Crivelli: Tien-tsin, go on. You're up next. And then Jim Breen you are on deck.
Tien-tsin Huang: Hopefully I mute it now. Can you guys hear me? Terrific. Appreciate the question here. Like format. Just on the margin side, I figured out, as we've been focusing on the supply side of the equation. I think a lot of the industry's talking about, war for talent and wage inflation. I'm curious if you're seeing that and how much of that is a factor in some of your margin outlook. I know you're in some hot areas around cloud and whatnot, so I just want to check if that is a focus area or if that's influencing some of your thinking on the margin versus some of the other things we've talked about in the past?
Kevin Jones: You want to start with that one, Amar on the margin and I'll pick up a little bit now the comment on the war on talent.
Amar Maletira: Yeah, absolutely. So Tien-tsin, I think what we are seeing is when you look at our margin and gross margins have been declining and continues to do so purely because of the result of mix shift in a business. And it has two components we talked about. One is the ongoing decline in a legacy OpenStack business, which we are no longer actively marketing. And second is a mix shift within our multicloud segment where we're seeing from mature to growth products. So growth products have a lower initial gross margins, but also have as, , lower CapEx and OpEx intensity. Now, I know your question was about how are the gross margins getting impacted because of the war on talent? I think for us that is already baked into our guidance. We have made room in our -- in a model to continue to make investment in the business. But what you're seeing right now from a gross margin perspective, I want to give you guys more color and broader color on gross margins. We are in a transient phase right now, and we believe it will continue for another four to five quarters. And during that time, we do expect our gross margins will bottom out in the low 30% range. And once the gross margin is bottom up at the end of this transient phase, we expect to inflect with the farewell makeshift plus higher value cloud services. And we are already seeing some very good traction in our land and expand motion. And that gives us a lot of confidence that the margins can start expanding with high margin products. In fact, if you look at our second half -- first half 2021 port of customers where we sold managed public cloud engagements, we are seeing our cumulative bookings are growing double digits. The sole gross margins have been expanding significantly, and that gives us a confidence that this higher value expansion with higher value services will play out in the next four to five quarters. Now, just to give you more color, because, this also leads into my guidance question. I'll give you more color on guidance later, but in Q3 we do expect gross margins in the 32.5% to 33% range. And we basically modeled it prudently for the reasons that I just mentioned. We, as looking at the mix shift that is going on in the business, we are onboarding more managed public cloud customers. In fact, our new logos continue to grow. We actually grew 31% in the first half of 2021 compared to first half of 2020, which is that you are -- there's a massive acceleration in the public cloud onboarding of customers. And that's also resulting in some gross margin declines. So we have factored that all in our model as we provided the guidance for the second half. Specifically, with regard to the gross margins, because of talent, I think that is already factored into our guidance, and we plan to continue investing in the business into the high growth areas of the market. One more thing I will add and I'll then see the floor too. Kevin is we are managing this mix shift and expect to deliver operating margins in the mid teens during this transition phase because as you can see we announced a restructuring on July 21. We have made sure that the OpEx structure now aligns to the new gross margin profile of the business and that should continue to help us deliver these mid-teens operating margins in the next four to five quarters. Kevin on to the talent.
Kevin Jones: Yes. In terms of the workforce talent, yeah we're definitely Tien-tsin seeing an increase in activity, across our industry and across our customers mentioned the same thing that they're seeing lots of activity from their competitors in terms of the war for talent. I think we continue to be really well positioned to be able to manage through that. We still just kind of look at our business. It's really a technology and automation driven business with fewer employees than the big systems integration companies and global managed services providers. We still accept less than 2% of the applicants to the company having said all that, like Amar said, we we've taken investments here and we were monitoring this kind of industry wide trend closely and being very proactive here.
Tien-tsin Huang: So thanks for that. You answered my operating margin and gross margin question as well. So I'll seize the floor. Thank you.
Joe Crivelli: Jim Brene from William Blair. You're up next. And then Ramsey El-Assal from Barclays is on deck.
Ramsey El-Assal: Thanks. So can you just give us some, a little bit more color on the guidance for profitability? If you look at your -- the full year guidance you gave last quarter is over $500 million in the non-GAAP operating profit, it seems like we're going to be a little bit below that. So just wondering, sort of what's changed over the course of the last quarter or so, and then just any thoughts on the Apps and Cross Platform revenue was down sequentially this quarter. Just, can you talk about the lumpiness there? Thanks.
Kevin Jones: Yeah, sure. Jim, so let me start with the guidance question first and I know I did answer some of it in my previous response, but let me start with the revenue guidance first, what you see in the revenue guidance is we expect continued sequential growth in our revenue in both Q3 as well as Q4 and a double-digit core and overall revenue growth for 2021, that's what we have basically baked into our revenue guidance. So revenue guidance for the full year is roughly in the midpoint of the oral guidance for fiscal 2021. Now, what do you see on the profit guidance is that profit guidance reflects low gross margins in the second half of '21 and I may be repeating this, but I want to make sure that we give you more transparency into this is we are seeing a mix shift happening in the business that's impacting the gross margins. I talked about the ongoing decline in the legacy OpenStack business, which we are no longer actively marketing. The second is the mix shift within our multicloud segment from mature business to high-growth business that we talked about in merely manage public cloud. As I mentioned, we are onboarding a large number of public cloud customers, and this transition is happening very rapidly with accelerated growth in public cloud. And you could see that from the announcements the growth announcement by Hyper Cloud providers. So what we have done is we have prudently modeled ghost margins in the second half in the 32% to 33% range. Also with the restructuring that we announced on July 21, we have aligned our OpEx to this new gross margin profile to continue delivering operating margins in the mid teens in the second half of 21. While we continue to make investments in growth offerings in go to market that we mentioned earlier. So all this is baked into our guidance. Now, if you take, if I just have to extend it a little bit and go forward and give you more color for the next four to five quarters, we believe that we are in this transient phase with this mix shift that is happening in the business. And our projections indicate this will continue for the next four to five quarters. And during the transient phase, we do expect our gross margins to bottom out in the low 30%. And by the end of fiscal '22, we do expect it to start inflecting with the farewell mix shift to higher cloud -- higher value cloud services for three reasons One, our legacy OpenStack product is becoming a smaller and smaller part of our revenue mix. It's already down to 6% of our revenue. Second is we expect the mix shift and multicloud to be largely complete, and it's expected to be more than 80% of the mix. And third is more meaningful expansion in our newer accounts with higher margin services. And these expansions typically take some time, but, this is a long-term play for us. So those are a few reasons why we believe that it will stabilize and then we have an inflection point starting the end of fiscal 2022. Does that help Jim?
Ramsey El-Assal: Yeah, that's great. And then just on the Apps and Cross Platform side, you saw the revenue down a little bit this quarter. Just what your thoughts are there. Thanks.
Kevin Jones: So in Q2 when you look at our Apps and Cross Platform, it did grow about 16% year on year. So it was a healthy growth, but it was down about 5% sequentially. And also as a part of a restructuring, we did exit a small line of business in application services that we figured that it's non strategic for us. So we evaluated, we continuously evaluate the portfolio and there was a non-strategic part of the business that we exited. And this explains most of the sequential decrease in Apps and Cross Platform going from say Q1 to Q2. Now we think that this segment will continue to deliver revenue in the $90 million to $93 million range in Q3 and Q4, and continue to grow at a healthy clip.
Joe Crivelli: Our next question comes from Ramsey El-Assal with Barclays. Ramsey, are you there?
Joe Crivelli: I think we've lost Ramsey. So there are no further questions in the queue. So with that, we'll call it a wrap. Again, if you have follow up questions, you can reach out to me at ir@rackspace.com and have a good evening.